Operator: Good day, and thank you for standing by. Welcome to the CCC Intelligent Solutions Third Quarter Fiscal 2025 Conference Call. [Operator Instructions] Please be advised that today's call is being recorded. I would now like to hand the conference over to your first speaker today, Bill Warmington, Vice President of Investor Relations. Please go ahead.
William Warmington: Thank you, operator. Good morning, and thank you all for joining us today to review CCC's Third Quarter 2025 Financial Results, which we announced in the press release issued earlier this morning. Joining me on the call are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that may cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the earnings releases available on our Investor Relations website and under the heading Risk Factors in our 2024 annual report on Form 10-K filed with the SEC. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligent Solutions Holdings, Inc. Any recording, retransmission or reproduction or other use of the same for profit or otherwise without prior consent of CCC is prohibited and a violation of United States copyright and other laws. Additionally, while we will provide a transcript of portions of this call, and we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in the transcripts. Please note that the discussion on today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes that these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends relating to the company's financial condition and the results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you. I'll now turn the call over to Githesh.
Githesh Ramamurthy: Thank you, Bill, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered another quarter of strong top and bottom line results. In the third quarter of 2025, total revenue was $267 million, up 12% year-over-year and ahead of our guidance range. Adjusted EBITDA was $110 million, also ahead of our guidance range, and our adjusted EBITDA margin was 41%. These results underscore the strength of our platform and the scalability of our model and the growing demand for AI-driven innovation across the insurance economy. On today's call, I'll focus on 2 key themes that define our Q3 performance and outlook. First, adoption continued to improve across our platform, particularly among our largest and most sophisticated customers. This momentum builds on the strong trends we observed in Q2 and reflects customers' growing confidence in CCC's ability to help deliver measurable ROI and operational efficiency at scale. Second, we are proactively investing in our organization to harness this momentum to accelerate value creation across the insurance claim and repair ecosystem, enhancing our go-to-market capabilities, deepening client and partner relationships and strengthening our multisided network. We believe these investments position CCC for continued durable long-term growth. Let's start with the first theme, the accelerating adoption of CCC's platform across our customer base. In Q3, we saw momentum across our customer base with multiple renewals, relationship expansions and new business wins. These results reflect the value our solutions deliver and the trust our clients place in CCC. A recurring theme in CCC's 4 decades is the evolution of individual solutions into a connected platform. The most recent evolution is with our AI-based solutions, which are following a similar trajectory as previous growth cycles. Starting with the launch of Estimate-STP in late 2021, we've expanded vision AI use cases to create a powerful AI layer that enhances our core software with advanced capabilities in routing, estimating and workflow. These capabilities are seamlessly connected through our event-based overlay, IX Cloud, which links more than 35,000 businesses across the CCC network. When multiple solutions are used together, it creates a compounding effect, reducing cycle time across the ecosystem and improving outcomes for insurers, repairers and consumers alike. We continue to see good engagement from our auto physical damage or APD insurance clients in Q3 with multiple renewals and contract expansions. For example, a top 20 insurer signed on for Intelligent Reinspection, our workflow AI solution, demonstrating the growing demand for intelligent automation across the claim life cycle. Adoption of these solutions continues to scale, driven by their proven ability to deliver meaningful ROI and operational efficiency. As I have said before, our largest and most sophisticated customers put new technologies, including our solutions through rigorous testing and piloting before full adoption. Our customers consider these processes to be essential to validate their specific ROI to identify internal process improvements and to align stakeholders across their organization. We're now seeing evidence that working with our customers through these diligence processes contributes to increased adoption of our solutions. Over the past year, a top 10 insurer has increased the number of AI-based solutions in use and the volume of claims being affected by those different AI use cases. As a result, this customer increased the number of claims leveraging at least one CCC AI model from roughly 15% of their claims to about 40%. This is a clear example of CCC turning innovation into operational impact, delivering measurable gains across the claims journey. Following the progress in APD, let's turn to casualty, an exciting growth area where our investments in technology, talent and product innovation are paying increasing dividends. For example, Liberty Mutual, the sixth largest auto insurer in the United States by 2024 direct premium written has signed with CCC and is actively transitioning a substantial portion of their casualty business to our platform. This decision was based on the strength of CCC's platform capabilities, the breadth of our extended ecosystem and our ability to deliver operating performance through ease of use, actionable analytics and continuous innovation, including AI. This transition has just started and will not be at full run rate until mid-2026. In addition to the Liberty Mutual contract, we had multiple renewals and contract expansions across our casualty client base, including a top 5 insurer for both first and third-party claims. Growth in our casualty business is outpacing overall company growth and represents one of CCC's most compelling long-term opportunities, which we believe may reach or even exceed the scale of our auto physical damage insurance business over time. Part of our confidence in the casualty opportunity comes from the fact that its total addressable market is similar in scale to APD, but its customer count is currently just 1/5 that of APD and contributes approximately 10% of our revenue. Medical inflation and complexity are also increasing rapidly with our insurance customers increasingly focused on addressing this area of claims. We're also advancing tools to help our insurers manage injury claims, an area where EvolutionIQ is already delivering results. EvolutionIQ saw good momentum in Q3, renewing and expanding contracts with multiple top 15 disability carriers, launching Medhub for auto casualty and adding its first workers' compensation cross-sell into an existing CCC customer. A central pillar of our investment thesis in EvolutionIQ was the integration of its AI-powered injury claims resolution capabilities into CCC's auto casualty suite. This strategic alignment positions us to accelerate our momentum in casualty and unlock new cross-sell opportunities across our APD client base of over 300 insurers. The first milestone in this integration journey was Medhub, EvolutionIQ's AI-powered medical record synthesis solution becoming generally available for auto casualty in Q3. Medhub's ability to decode complex medical documentation and surface actionable insights is generating strong interest from multiple top 10 insurers. In the past 12 months, Medhub has processed 6 million documents, 5.5 million full summaries and 82 million pages. Another strategic rationale for our acquisition of EvolutionIQ was the opportunity to deploy EvolutionIQ solutions, particularly its emerging workers' compensation product line into CCC's existing insurance client base. With 7 of the top 10 workers' comp P&C insurers already CCC clients, we are excited to announce that in Q3, a top 25 CCC APD and casualty client became a new customer for EvolutionIQ's workers' comp solution. Together, CCC and EvolutionIQ are enabling insurers to harness AI more broadly, driving meaningful improvements in operational efficiency, customer experience and claim outcomes. Over time, we plan to scale these capabilities across our client base, unlocking new pathways for growth and long-term value creation. This integration is a natural extension of our platform strategy, uniting data, AI and workflow automation to address complex challenges in injury claims resolution. While insurers are scaling adoption of our AI solutions, repair facilities are also embracing innovation to meet the challenges of increasingly complex vehicles and higher consumer expectations. As vehicles become more advanced and customers demand faster, more accurate and more transparent service, repair facilities face growing pressure to deliver. CCC's platform is designed to help repairers thrive in today's demanding environment. This quarter, we saw continued momentum of repair facilities adopting our latest solutions. For example, Build Sheets, our accuracy-enhancing part selection tool has now been adopted by over 5,500 repair facilities, up from about 5,000 last quarter. Usage of our photo AI-powered estimating tool, Mobile Jumpstart is also accelerating. In September, we surpassed an annualized run rate of over 1 million AI-based repair estimates generated using Mobile Jumpstart. Jumpstart enables repairs to cut estimate preparation time from 30 minutes to under 2, freeing up technicians and accelerating cycle times. With tools like JumpStart and Build Sheets, CCC is helping define what modern, efficient and consumer-centric repair looks like. We believe our AI-driven tools and the connectivity of our network are driving a widening gap in operating efficiency and consumer experience between repair facilities on the CCC platform and those that are not, a gap that we anticipate will continue to expand as adoption and expectations rise. Let's take CCC's routing AI solution, First Look as an example. It helps insurers only route vehicles to a repair facility if they're truly repairable, preventing shops from losing valuable time and space on vehicles that will ultimately be declared total losses. Our workflow AI solution, Intelligent Reinspection is another example. It reviews supplement requests, which now occur in about 2/3 of repair claims. With CCC's new solution, roughly 40% of those supplement requests are auto approved, significantly shortening cycle time for repairs. We will continue to introduce new solutions that combine the connectivity of our multisided network and the power of AI to deliver even greater efficiency and consumer experience gains for our customers. As a result, we expect the productivity and service gap between those on the CCC network and those who are not to expand over time. This brings me to the second theme of today's call, the organizational investments we are making to accelerate value creation across the insurance claim and repair ecosystem. In addition to getting to know many of our team members during his first 6 months at CCC, our new President, Tim Welsh and I have met with dozens of clients. These conversations were invaluable and had 3 takeaways. The first is that our insurance customers are increasingly focused on the affordability of their products. A recent Guardian service study found that 1 in 4 Americans have downgraded or dropped insurance to free up cash and 1 in 3 would temporarily go without coverage to afford basic necessities. This underscores a critical question our clients are asking, how can CCC help improve operational cost efficiency to make insurance more affordable for consumers? The second takeaway is that our clients are intent on leveraging the opportunities presented by the current wave of technology-driven transformation. AI creates new possibilities for handling claims and new opportunities for participants in the CCC ecosystem to collaborate. Insurers, repair facilities, OEMs and other participants in the ecosystem are looking to us for strategic guidance on how to leverage AI to streamline workflows and navigate the organizational change required to implement these innovations. They are not looking for incremental gains. They want a step change, and they want CCC to help them achieve it. The third takeaway is that our clients want us to do more with them. Over time, we've built long-term relationships by supporting their mission-critical processes and consistently delivering platform-driven innovation. As a result, our role has evolved into a trusted adviser and innovation partner. Clients are asking us to provide solutions that integrate more deeply across their operations and ecosystems as well as work closely with them to help shape the future of insurance. These client conversations reaffirm the strength of our product investments and highlight CCC's growing role as a transformation partner of choice. Combined with strong adoption momentum we're seeing across our platform, this gives us the confidence to invest behind the demand, positioning CCC to capitalize on what we believe is a transformative era of growth and innovation. One of the key investments we're making is a refinement of our go-to-market strategy to better engage customers around the broader value of the CCC platform. As we shared on our February call, early changes included simplifying our solution packaging by combining insurance offerings into a more holistic outcome-driven bundles, enhancing change management support to accelerate adoption of newer innovations and consolidating all market-facing and service functions under Tim Welsh's leadership to drive alignment and accountability. The next phase of this evolution involves augmenting our teams with new skill sets. bringing in talent that can help us build broader, deeper and more strategic relationships across key clients. One way that we are doing this is augmenting our existing teams with new client leaders that have proven expertise in deep strategic consultative platform sales, which will allow us to engage higher and more broadly across the organization. We are funding these investments by reallocating existing spend to these higher ROI opportunities. These moves reflect our confidence in our long-term growth potential and are guided by what our clients need most. As part of our broader effort to align the organization for scale, we have also separated the previously combined roles of Chief Product Officer and Chief Technology Officer and are actively recruiting to fill both positions. This structural change enables greater focus and specialization across both functions, which we believe will drive stronger execution, enhance client satisfaction and elevate the consumer experience. In parallel, we are continuing to invest in our multisided network, adding new capabilities, expanding participation and integrating advanced AI features that enhance our ability to deliver differentiated value at scale. With over 200 partner organizations, we see significant opportunity to deepen existing relationships and forge new ones, further strengthening the CCC ecosystem. Taken together, these investments reflect our commitment to scaling CCC's impact by aligning our organization more closely with client needs, deepening strategic relationships and strengthening the ecosystem that powers our platform. We are confident that these steps position us to lead in a rapidly evolving market and deliver meaningful durable value for our customers, partners and shareholders. Every day, CCC's solutions help our customers support over 50,000 people affected by vehicle accidents and over 10,000 impacted by workplace injuries, helping them get their lives back on track as quickly as possible. Since going public in 2021, we've doubled the annual dollar value of claims processed in our system from slightly over $100 billion to over $200 billion. For this, we are truly grateful to the growing trust and reliance from our customers across the insurance economy. We saw clear traction in Q3, particularly among some of our largest and most sophisticated customers. Their adoption trends reinforce our confidence in the structural changes we're making to scale our impact and deliver against a compelling long-term growth opportunity. As the insurance economy continues its digital transformation, CCC remains deeply committed to providing our customers with solutions to shape a future where innovation drives better outcomes for businesses, consumers and communities. We are excited about the road ahead and confident in our ability to deliver strong results and lasting value. I will now turn the call over to Brian, who will walk you through our results in more detail.
Brian Herb: Thanks, Githesh. As Githesh highlighted, Q3 was a strong quarter with meaningful new business wins, renewals, contract expansions and a continuation of the adoption momentum we saw in Q2. These results reflected the continued execution of our platform strategy and the strategic investments we're making to support long-term growth. Now let's turn to the numbers. I will review our third quarter 2025 results and then provide guidance for the fourth quarter and the full year of 2025. Total revenue in the third quarter was $267 million, which is up 12% from the prior year period. In the third quarter of 2025, approximately 5 points of growth was driven by cross-sell, upsell and adoption of our solutions across our client base. including repair shop upgrades, the continued adoption of our emerging solutions and casualty. Approximately 3 points of growth came from our new logos, mostly repair facilities and parts suppliers and about 4 points of growth came from EvolutionIQ. In the quarter, contribution from our emerging solution expanded to just over 2 points of growth, mainly driven by our AI-based APD solutions, subrogation, diagnostics and Build Sheets. Emerging solutions represent about 4 percentage points of our total revenue in Q3 of 2025, and these solutions continue to be the fastest-growing portion of our portfolio. Industry claim volumes in Q3 declined 6% year-over-year. That compares to 9% decline in Q1 and an 8% decline in Q2. The trend continues to represent approximately a 1 percentage point headwind to growth, consistent with the impact we experienced in the first half of the year. Turning to our key metrics of software gross dollar retention or GDR and software net dollar retention or NDR, please note that both of these metrics now include EvolutionIQ, and we're using an annualized software revenue on a combined basis for the prior year to provide a baseline for annualized revenue growth. GDR captures the amount of revenue retained from our client base compared to the prior year period. In Q3 2025, our gross dollar retention was 99%, which is in line with the last couple of years. We believe that GDR reflects the value we provide and the significant benefits that accrue to our clients from participating in the broader CCC network, our strong GDR is a core tenet to our predictable and resilient revenue model. Net dollar retention captures the amount of cross-sell and upsell from our existing clients compared to the prior year period as well as volume movements in our auto physical damage client base. In Q3 2025, our NDR was 105%, which is down from 107% in Q2 2025, primarily due to timing of deals. Now I'd like to turn to the income statement in more detail. As a reminder, unless otherwise noted, all metrics are non-GAAP. We provide a reconciliation of GAAP to non-GAAP metrics in our press release. Adjusted gross profit in the quarter was $199 million. Adjusted gross profit margin was 75%, which is down from 78% last quarter and against Q3 of 2024. The lower adjusted gross profit margin is mostly driven by higher depreciation from newly launched solutions and software enhancements. Other impacts include a onetime impact of the write-off of a discontinued solution and revenue mix. Overall, we feel good about the leverage and scalability of the business and making progress towards our long-term target of 80% over time, but this percent can move around quarter-to-quarter. In terms of expenses, adjusted operating expense in Q3 2025 was $106 million, which is up 12% year-over-year, including the acquisition of EvolutionIQ. Excluding EvolutionIQ, adjusted operating expense increased 3% year-over-year, primarily driven by higher resource-related expenses and professional fees. Adjusted EBITDA for the quarter was $110 million, up 8% year-over-year with an adjusted EBITDA margin of 41%, this was above the high end of the range, which was $104 million to $107 million, reflecting the revenue that flowed through in the quarter and some phasing of costs that have moved into the fourth quarter. Stock-based compensation as a percent of revenue declined to 15% in Q3. That's down from 24% of revenue in Q1 and 18% of revenue in Q2. We expect stock-based compensation as a percent of revenue to continue to trend down in Q4, and in 2026 to reach high single digits in 2027. That's subject to further business needs and market conditions. Now let's turn to the balance sheet and cash flow. We ended the quarter with $97 million in cash and cash equivalents and $993 million of debt. At the end of the quarter, our net leverage was 2.1x adjusted EBITDA. We continue to show improving trends in free cash flow generation. Free cash flow in Q3 was strong at $79 million. That compares to $49 million in the prior year period. This reflects strong collections and favorable timing on working capital. Free cash flow on a trailing 12-month basis was $255 million, which is up 28% year-over-year. Our trailing 12-month free cash flow margin as of Q3 2025 was 25%. That's up from 22% in Q3 of '24. We have used our strong free cash flow performance to return capital to shareholders through the share repurchases. In Q3, we completed open market repurchases of 4.8 million shares of CCC common stock for about $45 million. We continue to be active buyers in October, bringing the total year-to-date repurchase to approximately 30 million shares for approximately $280 million under our previously announced $300 million share repurchase program. I'll now turn to guidance. Beginning with Q4 2025, we expect revenue of $272 million to $277 million, which represents a 10% to 12% growth year-over-year. We expect adjusted EBITDA of $106 million to $111 million, a 40% adjusted EBITDA margin at the midpoint. For the full year 2025, we are raising the low end of our guidance range and maintaining the upper end for both revenue and adjusted EBITDA. We are now expecting revenue of $1.051 billion to $1.056 billion, which is a 12% year-over-year growth at both the midpoint at the high end of the range. For adjusted EBITDA, we're now expecting between $423 million to $428 million, a 40% adjusted EBITDA margin at the midpoint and a 41% margin at the high end of the range. This includes a moderate EBITDA loss from EvolutionIQ. Excluding EvolutionIQ, our guidance implies about 100 basis points of year-over-year margin expansion at the midpoint. So a couple of things to keep in mind as you think about our Q4 and full year guide. First, our Q4 revenue forecast for the core remains in line with our previous guidance. We are raising the low end of our full year revenue guidance range to reflect strong performance in Q3 and maintaining the upper end of the range because of a slightly softer contribution from EvolutionIQ. Overall, the pace and scale of new business wins, renewals, contract expansion across the core business and EvolutionIQ reinforces our confidence in our long-term growth as we head into 2026. Second, we are raising the low end of our full year adjusted EBITDA guidance to reflect Q3 outperformance while keeping the upper end unchanged as we expect to absorb Q4 cost tied to the organizational investments Githesh outlined, which include some onetime consulting recruiting fees as well as exit and onboarding costs. As a result, we do not expect these investments to impact margins going forward, and we remain on track to resume margin progression in 2026. So as we wrap up, I'd like to reiterate our confidence in the strength of our business and our ability to deliver against our long-term strategic priorities. Our Q3 results and positive momentum underscore our commitment to support our clients as they advance their digital transformation. We're encouraged by the growth of emerging solutions and the disciplined execution that is driving margin expansion and strong free cash flow. As we look ahead, we believe our durable business model, expanding portfolio of AI-enabled solutions and strategic investments, including continued investments in our core platforms and the teams that support them position us well to create long-term value for both our customers and our shareholders. Operator, we're now ready to take questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question today comes from Kirk Materne with Evercore ISI.
S. Kirk Materne: Congrats on a nice quarter. I guess, Githesh, one of the things that stood out was the customer you alluded to that has gone from 15% of his sort of business being touched by AI to 40%. Can you just talk, I guess, at a high level about what that means from a monetization perspective for you all? Meaning when we think about the kind of revenue contribution on an ACV basis from that client, is there sort of a linear scale for you all as sort of your AI solutions penetrate that client? And then, Brian, could you just clarify a little bit on the EvolutionIQ? I think it was 4% contribution. I think you guys were looking at 5%. Can you just sort of -- it might have just been some little things, but could you just give us a little bit more color on that front?
Githesh Ramamurthy: Thanks, Kirk. The main theme here is that as we've expanded our vision AI we have expanded the use cases across a broader spectrum of the claims. So as the quality, the caliber of the vision AI to help guide and make decisions all the way from the consumer at the front end, helping decide whether the car should be repaired, totaled, using it for Estimate-STP, using it for Intelligent Reinspection. So there's a lot of different places in the workflow that the solution is now being applied in addition to subro. In terms of the specifics, in terms of the impact on financial, I'll let Brian pick that up. But we're super excited about the uptake and how we've been able to expand that core AI vision capability across many other facets of the claim.
Brian Herb: Yes. So if you think about AI and AI touching the claim, there is an incremental opportunity or an upcharge that we have. If you think about in our APD client set, if they take our core solutions, think about kind of estimating valuation workflow, and they're using those today. Now they're deploying -- if they deploy our AI layer that sits on the top of those, such as Estimate-STP that's on the top of our estimating solution or our reinspection, which sits with workflow, you could think about that client fully rolled out, could increase about 50% of their revenue across the APD solution set. So that's how to think about the sizing of the AI impact on our clients. Your second question on EvolutionIQ, I can take as well. So yes, you're right. We saw 4 points of contribution in the quarter. That will step up slightly in Q4. So we will see a larger contribution from EvolutionIQ. It will look more like 5% of the overall growth in the fourth quarter. The slight slippage that we saw in Q4 really comes down to timing of deployments and when clients are going live. These are signed clients, but there's been some timing and delays when they're going live, and that has pushed the revenue out. It's not revenue leakage or revenue loss, it's really a timing point on the revenue.
Operator: Our next question comes from Gabriela Borges with Goldman Sachs.
Gabriela Borges: A question Brian, I want to understand a little bit of your growth profile into next year in the context of some of the changes you're making. If I think through the commentary from this year, some of the things outside of your control have led you to be, call it, in that 7%, 8% lower half of the revenue target -- the long-term revenue target of 7% to 10%. So my question for you is, what are the scenarios where we can be closer to the high end versus the low end of that long-term target for next year? And the timing of the changes that you're making in the organization, why now? And do you think they can contribute to you being towards the higher end of the revenue growth target range for next year?
Githesh Ramamurthy: Okay. Thanks, Gabriela. Let me take the last part of your question first. So if you look at -- when I look back at the last 20-plus years of how we've been doing this, we've always focused first on building out a high-quality set of solutions for essentially the next generation of the next wave. That was true when the Internet came along, that was true when mobile came along, that was true as we delivered new solutions. And we have, as you know, invested substantially over the last 4 years, 5 years, in fact, much, much longer on a set of AI solutions. And those are now starting to scale. We talked about that in Q2, we talked about that in Q3, and one of the things that we have seen as we've started to deploy solutions, clients starting to adopt them is really 2 out of the 3 things that, as Tim and I have been going around talking to people, our customers are asking us for. Customers are saying, we want to use these tools to deliver a step function change, not a linear incremental change. And that also means we need you guys to help us with more because it requires process changes, change management on our end. And so that is actually one of the key reasons why we're making these changes now and now -- for 2 reasons, right? Tim now had significant opportunity to spend time in the business. And the feedback from clients is the breadth of the solutions have increased where clients are saying, we need you to do more and we need you to help us. And so therefore, we need to be working at higher levels in the organization because it affects so many other components of the organization. And that's why we are making the augmentation. And remember, this is an addition and augmentation of our core capabilities as opposed to any whole scale changes. Does that help with that part and then the answer...
Gabriela Borges: Yes, absolutely.
Githesh Ramamurthy: And then the answer to the second part of your question about growth rate is, yes, this, as Brian pointed out, claim -- the drop in claim frequency has moderated -- starting to moderate. But most important for us, what really drives the growth is the adoption of really, if you think about it, our emerging solutions. We're continuing to build on the core insurance, adoption of emerging, as you followed us for a while, you've seen the breadth of the adoption in really 2 dimensions. One, clients expanding use of Estimate-STP, Intelligent Reinspection, a lot of our solutions. So that's one dimension. And the second dimension is as our most sophisticated customers deploy these solutions and we see great references, adoption by more and more clients. So those are 2 dimensions for emerging solutions. And then for casualty, we've said that's a sizable opportunity. And as large as customers start to come on for casualty, we think that will help drive the growth. And then on EIQ, that as we go from 2025 into 2026, we see the core disability solution continuing to chug along well. But one of the things we pointed out is one of our traditional CCC clients using the workers' comp solution. So that's a nice new -- a new -- brand-new product that can be rolled out to our existing customers. So at a very macro level, we're looking at growth from a whole series of these new solutions. That's really more we believe will start driving growth.
Operator: Our next question is from Dylan Becker with William Blair.
Dylan Becker: Appreciate it. Maybe, Githesh, starting with you on casualty, talking about it kind of continuing to grow faster than the aggregate business here. I'm wondering how much of the emphasis that you're seeing from customers on the casualty side is driven by like the market factors around inflation and the need for kind of tech modernization and data there versus or maybe pairing that with the maturation of your platform and the differentiation of being able to kind of pair all of the APD data that you have there. It feels like it's kind of a combination of both, but wonder if maybe one is helping accelerate the other, they're kind of working in tandem together, how you guys maybe think about it.
Githesh Ramamurthy: Thanks, Dylan. The way we think about it is really at 2 levels. So first and foremost, when you think about it at a macro level, medical inflation is really running very aggressively out of control. And there's a whole host of things happening with our clients when it comes to the medical, what's happening with medical inflation and its impact on the affordability of insurance for consumers. So that's one macro fundamental thing that's changing. Second, and perhaps as important is that the investments we have made in our casualty platform over the last several years, similar to what we've been able to do on the auto physical damage side, where we have given customers tools, technologies and capabilities to be able to manage this, the maturity enhancements and honestly, some of the very uniquely differentiated features we have in casualty are also helping with adoption.
Dylan Becker: Perfect. Okay. Great. And then maybe another way of kind of asking for Brian here, too. If we net out the EIQ contribution piece, it looks like the core accelerated again here kind of closer to 8%. It's a function, it seems like of emerging stepping up as well, but you still maybe have the call option of claims volume normalization. I guess, is that first a fair characterization? And as you start to see more of these kind of like large customer multiproduct components and maybe some stuff that's already signed layering in next year, can you give us a sense of kind of the conviction of kind of that steady-state model here playing out as you guys had kind of laid it out or see it taking place, if that makes sense?
Brian Herb: Yes, it makes sense. Thanks, Dylan. Yes, so you're right. I mean the last 2 quarters, if you pull out EvolutionIQ in both Q2 and Q3, we're doing about 8% in the core on an organic basis. And in that, as you alluded to, we're seeing about 1 point of headwind drag on claim volume. So that's running through the numbers as well. When you think about what we talked about last quarter on Q2 call and then the call today regarding some of the client wins, the expansion, the new casualty win, the adoption of emerging solutions, it certainly gives us confidence as we exit the year and the momentum in the business. So we're feeling good on the exit run rate coming out of the year and setting us up for 2026. That said, each year, we need to grow about $100 million of revenue. So although it gives us good momentum and feeling confident about delivering against the position, there's still more to do next year. But overall, there's a lot of positive momentum in the business.
Operator: Our next one comes from Josh Baer with Morgan Stanley.
Josh Baer: First, on the contribution from new logos, it seems to be tracking slightly better than some of the frameworks that you've laid out. Just hoping you could dig in a little bit there and talk about types of customers you're landing, the size of those lands. Any other context on new logo contribution?
Brian Herb: Yes, I can take that. Hi, Josh. So yes, we're really happy and pleased with the new logo performance. We've been seeing about 3 points of growth from new logos over the past couple of years, and that's been very consistent. As you alluded to, over time, we do expect that to moderate. And in our long-term framework, we expect that to be more like 2 points of growth just because of the market leadership position we have both on the carrier side of the business and the shop side of the business. But we're really happy with the performance that we've been seeing. It remains to be distributed. It's a combination of repair facilities, part suppliers, and we are still bringing in new carriers. We talked about a carrier win earlier in the year that's contributing to the new logo as well. So yes, we're pleased with the performance and feeling good on how that's playing through.
Josh Baer: Got it. And a follow-up on the claims headwind. I assume it's just rounding. I did want to check. Did the headwind get smaller following the lighter declines in claims? Or is there anything else going on there? And then if you could talk about any of the monthly trends from July through October.
Brian Herb: Yes. I mean we're seeing -- I'll let Githesh reference the second part. But as far as the drag that we're seeing in growth, I mean, claims were down 9% in Q1. They were down 8% in Q2, and we saw about 1 point of headwind in the first half. In Q3, it's down 6%. We're still seeing roughly 1 point. There is some rounding in that. I'd also say and we've talked about this in the past that the claim decline isn't perfectly correlated with our revenue model. So it just doesn't work out mathematically -- it perfectly correlated. It matters on client mix, product mix and also timing of true-ups and whatnot. So there's kind of a lot of factors that play into it. I think you can say there's a slight benefit in rounding, but it's pretty marginal. And we're still facing kind of the 1% headwind. We're assuming that as we go into Q4 as well. Within the guide position, we are assuming a 1 point drag in Q4 as well. I don't know, Githesh, if there's anything you want to...
Githesh Ramamurthy: No, I think this is also correlated to, I'd say, 2 macro things I'd point out. One is the cost of the increase in claim inflation, that's moderated significantly in 2025. So our numbers show, and you see that in our reports and crash course that claim inflation has moderated. And also the second thing we're noticing is that there are more filings for rate decreases by carriers than there are for rate increases. So we think from a consumer and affordability standpoint, those 2 other macro factors are starting to play in. And -- but with that said, the other point we also look at is the number of consumer self-paid claims versus insurance filed claims. We still think the consumer self-paid claims are at significantly elevated levels compared to where they were 2 or 3 years ago.
Operator: Our next question is from Saket Kalia with Barclays.
Saket Kalia: You have nice quarter.
Githesh Ramamurthy: Thanks Saket.
Brian Herb: Hi, Saket.
Saket Kalia: Yes, sure. Githesh, great to see the Liberty Mutual win on the casualty side and just generally momentum build in that business. You talked about how the TAM there is similar in size to APD. I was curious though, maybe on the market share side, right? What does the market share look like in the casualty business? And specifically, how much of that market is maybe done manually or through homegrown solutions versus maybe incumbent software vendors that you would have to displace? Even anecdotally, kind of how you think about that?
Githesh Ramamurthy: Yes. So I would say at a very high level, I'd say the majority of claims processed today, even on the casualty side, are using some kind of software. So over the last couple of decades, that's the vast majority. I wouldn't put any specific percentage other than the vast majority. But there are still pockets where many elements are still done manually, and we're seeing that with a few customer adoptions. But for the most part, it's done using existing providers. You know...
Saket Kalia: Got it. That's helpful.
Githesh Ramamurthy: You know, as we've talked about this, we feel very good about the solutions we've been building, and it's been several years in the works.
Saket Kalia: Understood. Brian, maybe for my follow-up for you. You talked about the net dollar retention and maybe how timing of deals there impacted a little bit. Can you just dig into that? Maybe that's on the EvolutionIQ side, but can you just dig into sort of that timing impact and either talk about sort of what NDR would have been this quarter adjusting for that timing or maybe on the other side, maybe talk about how that NDR could trend into Q4 when presumably that timing sort of corrects. Does that make sense?
Brian Herb: Yes, it does. Yes, happy to cover it, Saket. Yes, so we've talked about it in the past, and you see it run through the numbers. I mean, NDR will just move around quarter-to-quarter. It really has dependency on deal flow phasing, timing of deals that come home in the quarter, the deals you're lapping from the prior year. So there's just a dynamic of the deals that are playing through. The second part is product mix matters as well. So as you know, casualty solutions and our part solutions do not go into our NDR calculation, but they are in total growth. And casualty was very strong in the quarter, so it contributed to total growth, but that's not running through the NDR. So that's a factor as well. And then third, I'd highlight that EIQ was softer in the quarter in this quarter Q3 than it was in the prior 2 quarters. So that's playing through. And that really is on the implementation of their deals as well. So all those factors are playing through the NDR in the quarter.
Operator: Our next question is from Tyler Radke with Citi.
Tyler Radke: Githesh, I wanted to go back to some of the comments you had around reinvesting in certain areas of the business. I know you were sort of on a listening tour with your newly appointed President, and it sounds like customers sort of want to see higher-level solutions to the problems they have. And so I imagine part of tackling that is investing in the right heads on the go-to-market side. But I guess a couple of questions. Like how are you thinking about any changes on the product side? Does this sort of need -- is this just sort of a messaging and positioning thing from the go-to-market team? Or are there sort of product level changes you need to make to be able to sort of tackle these problems more holistically? And then, Brian, as you think about those investments, how are you sort of weighing that versus sort of the framework you have around expanding margins? Is this something that you feel like you can absorb by offsetting costs elsewhere? Just how you kind of think about that on the margin side heading into next year?
Githesh Ramamurthy: Tyler, I'll take the second part of your question first, and then Brian will take the third, and I'll do the first part of your question. So to start with, let's talk about product. One of the things that we are seeing is that the solutions that we are building, deploying, and remember, we first came to market with our AI in November of 2021. And so we are now almost 4 years into -- after 7 years of development, and we are seeing true differentiation for our customers. Our customers who deploy these solutions are getting better results, better operating performance than those that don't. And those results are actually validating for us that the core solutions that we've built are delivering results. And with the other part of what we also feel we need to do is with IX Cloud, as we continue to expand the ecosystem, merging really 3 things from a product standpoint, the deep workflows we are involved in, the use of very -- moving information to the right person at the right time for the right claim in the right location for the right customer, that is another layer. And then third, as we integrate AI into really every facet of what we do, these are going to require continued development. And it's no different from when I look back 5 years, 10 years, et cetera. This is just a natural next step in our evolution. And this is one of the reasons we pointed out that we are also separating out the Chief Product Officer role from the Chief Technology Officer role because we think more dedication to those activities will be super helpful based on the client feedback. And then in terms of your first question in terms of go-to-market and what we're seeing is it just very simply comes down to our customers telling us, we need you to do more for us, and we need you to work in a broader scale across our companies, which is honestly very gratifying to hear and exciting to hear. And therefore, we're making the investments to really augment that side of the business. And then I'll turn it over to Brian for the margin question.
Brian Herb: Yes, absolutely. Tyler, so the way to think about these changes that we're doing in go-to-market, think about them, they're strategically and operationally important, but they're not financially material. We are reallocating resources to higher ROI opportunities. And there are some onetime costs associated with the actions that I referenced. We're absorbing those costs into our Q4 position. So our guide didn't change for the year. But think about this reinvestment, it's not focused on cost reductions, but there are efficiencies which will offset some of the investments that we're making. So when you think about kind of coming out of Q4 and into next year, we are expected to deliver margin expansion next year, consistent with the margin progression that we talk about in our guidance framework. And so that's how you should think about kind of the impact as we roll out of this year into next year and how it will play through the margins.
Tyler Radke: Okay. And apologies for the 3-part question. So I'll keep it to one follow-up here.
Githesh Ramamurthy: No problem whatsoever.
Tyler Radke: So Liberty Mutual, exciting announcement there. Just remind us like where are you at with other top 20 carriers? And do you think that kind of creates a referenceability halo effect? And apologies if that was 2 questions, but just related to that big customer.
Githesh Ramamurthy: Yes. Look, we don't comment on -- we generally, by and large, don't comment on any specific customers or deals. And so this was a bit of an exception for us. I would say, even when you think about the Liberty Mutual decision, references did play a huge role in even their decision. And obviously, this helps us for sure. They've been a wonderful partner, just like many other wonderful partners we have. And the only point is every -- this is why we focus on high-quality, high-caliber implementations. It also feels great. It's a validation of the tremendous investments we've made in casualty that is most importantly being recognized by our customers.
Operator: [Operator Instructions] And our next question comes from Samad Samana with Jefferies.
Jeremy Sahler: This is Jeremy on for Samad Samana. It's good to see the decline in auto claims volumes moderating a bit. I guess, is there a cyclicality element to the medical insurance claims as well? I know you called out that medical insurance is experiencing a very high inflation right now. I guess where are we in that cycle? Is there maybe upside to the volume you're seeing in medical that might align with the recovery in auto down the line?
Githesh Ramamurthy: Yes. I would say the pattern, to keep it very short, there is less of a pattern in medical than it has been in auto physical damage. The reason is medical claims tend to be much higher dollar claims. And therefore, people -- when those claims happen, people do file the claims, whereas for auto physical damage because of higher deductibles and people's propensity to pay for the claims out of pocket is a lot higher for auto physical damage than it is for casualty.
Jeremy Sahler: Got it. That makes sense. And on gross margins, it came in a little lower than we expected. I know you gave a few factors. I guess, can you help us size the impacts from some of the more structural impacts like higher depreciation? I know you called out some software enhancements versus that write-off on a discontinued solution. And then maybe what is that discontinued solution as well?
Brian Herb: Yes. Happy to cover it. Yes. So 75% in the quarter, which is slightly down from where we've been trending. We talked about kind of 3 things that are driving. The largest one that's driving it is the higher depreciation associated with putting new solutions or enhancements of solutions into the market. Once we go live with those solutions, we then start to run the depreciation through and that hit gross profit. That was by far the largest impact in the gross profit. There's also product mix. Casualty has a higher cost of revenue component than some of our APD solutions. Casualty was strong in the quarter, so that had an impact. And then we did have revenue -- or I'm sorry, depreciation acceleration when we took a solution out of the market. The size of that was about $2 million overall. And it wasn't a material solution, we just sunsetted a product as part of our regular assessment across our portfolio. So that's how to think about the size of the solution that we took out of the market.
Operator: And our next question comes from Gary Prestopino with Barrington.
Gary Prestopino: Two-part question here or 2 just separate questions. But could you maybe give us some idea of on the transactional revenue side, what was the absolute decline in those revenues versus the decline in claims volumes or even if they did decline?
Brian Herb: Yes, Gary, it's Brian. I mean the way to think about it, remember, our business is largely subscription-based. So 80% plus of our revenue is subscription, not tied to transactional. Of the 20% transactional, the decline in claims had about 1 point of impact on the growth in the quarter. That is similar to the impact -- roughly similar to the impact that we saw through the first half. So we are seeing a 1 point headwind through the year. As I mentioned earlier, we are also assuming that headwind stays for Q4, and that's baked into our guide position. So our transactional revenue overall has that 1 point of impact across the total company.
Gary Prestopino: Yes. I guess what I'm getting at, though, is a concern about the impact of claims declining, and it's definitely affected your stock price. And what I'm trying to get at is, despite these claims declining, are your sales on the transactional side declining at a lesser rate? I mean if it's 1 point, and it's 20% of revenue, then I would kind of do the pencil on paper and it would be maybe a 5% decline in revenue. That's what I'm trying to get at.
Githesh Ramamurthy: Yes. Gary, we've grown on an overall basis. On an absolute basis, we've actually grown. So I'm not sure we understand the specifics of your question.
Brian Herb: Yes. May I -- let me -- Gary, let me cover it. I mean your math is out of the 20%, we are -- there's an impact on claims volume within that, which is down in the quarter, it was down 6%. So when you just take 6% on 20%, that's roughly what you're getting at, which is just about 1 point. So that is the right math. What we're saying is we are absorbing that. But as we continue to grow adoption of new solutions, the scaling of emerging solutions, the new logo, we're clearly offsetting that. It's certainly playing through the overall position. Our 8%, you could say, would have been 9% if we didn't have that claim volume. But that's how to think about the impact on the claim volume decline running through our transactional side of the business.
Gary Prestopino: Okay. And then I'll just sneak one more quick one here. In terms of the casualty business, is your competition more or less companies that have a single point solution in casualty, but nothing in APD? I guess is there anybody out there like you that can sell both APD and casualty claims processing?
Githesh Ramamurthy: Gary, as you know, we generally stay away from commenting about casualty, much rather speak about what we do. But by and large, there's a mix. There's a mix. There are -- it's a mix of providers. It's a competitive market, and we need to -- that's why we need to invest and keep staying ahead with our solutions.
Operator: Thank you. I'm showing no further questions at this time. So I would like to turn it back to Githesh Ramamurthy for final remarks.
Githesh Ramamurthy: Thank you all for joining us today. And on behalf of the entire CCC team, I want to express our sincere appreciation for your continued investment, interest and support. We're also pleased with the third quarter performance and remain confident in our ability to deliver on our strategic and financial objectives. And as we look ahead, we remain focused on scaling innovation, deepening client partnerships and delivering differentiated value across the economy. But most importantly, we're proud to help people get back on track when the unexpected happens, helping life move forward. I'd like to take a moment to thank our customers for their trust, our team members for their dedication and our shareholders for their continued support. We're excited about the opportunities ahead and look forward to updating you on our next quarterly call. Thanks, everybody.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.
Githesh Ramamurthy: Thank you.